Operator: Good morning, and welcome to the Bekaert First Quarter 2025 Trading Update Call. At this time, all participants are in a listen-only mode. And the floor will be open for your questions, after the presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to turn the floor over to your host, Mr. Guy Marks, Vice President, Investor Relations. Sir, the floor is yours.
Guy Marks: Excellent. Many thanks for the warm welcome, and thank you all to those on the phone for joining today's Q1 2025 trading update. I'll hand over very shortly to CEO, Yves Kerstens; and CFO, Seppo Parvi. But just before I do that, I'll take you through the safe [Technical Difficulty] this or any other publication issued by Bekaert. With that out of the way, I'm delighted to hand over to Yves.
Yves Kerstens : Thanks, Guy. Also a warm welcome from my side on the trading update for Q1. So in the first quarter of 2025, we delivered a top line just south of EUR 1 billion, EUR 991 million, 3% lower than Q1 of 2024. On our joint ventures, we delivered around EUR 214 million of top line, 2% lower than in Q1 the year before. So same terms of dynamics in that region. In that context of a challenging market environment, we keep on working on protecting our margin, cost control, but also working capital. The way we look at '25 is that we are lowering our capital expenditure from around EUR 190 million that we had foreseen to EUR 150 million, EUR 160 million range. Our growth platforms are well positioned when the demand picks up in the upcoming 2, 3 years. In terms of the balance sheet, we keep on having a low financial leverage. So today, we have the AGM in Kortrijk here where we will meet our investors virtually and physically, some of them, and we are proposing a dividend of EUR 1.9 per share, which is a continuous increase of our dividend in line with our policy. And we have executed EUR 50 million of our buyback program of our own shares of the total program of EUR 200 million, EUR 25 million per quarter. If you have a look at the different businesses, it's a mixed picture. I think for all the industrial companies and for the whole economy, a strong focusing on understanding what the impact will be of the import tariffs and to minimize that impact. So let me start with Rubber Reinforcement, the tire reinforcement business. We see a strong performance in China with a strong automotive demand. We see that both in Rubber Reinforcement as well as in Steel Wire Solutions. And we see some subdued demand in Europe and North America, a little bit continuation of the Q4 of 2024. Overall, we see an overall remaining overcapacity in the industry and an uncertainty on the tariffs. However, as Bekaert, we are well positioned as we have a global footprint, and we'll come back to that in our position in the U.S. more specifically. In Steel Wire Solutions, we see a solid sales performance, both in volume and mix. As announced, we are on the trajectory to divest our business in Costa Rica, Ecuador and Venezuela, and that's fully trending on track. For our Ropes business, both steel ropes and synthetic ropes, we reconnected with stable production reliability in the steel ropes business. And of course, we see some uncertainty on the demand and the order book for our steel ropes business and lower hosting demand in China. Specialty business, we see the impact in sustainable construction, mainly in the U.S., where we see compared to Q1 of 2024, we see a drastic reduction in the number of newly built factories and newly built warehouses. On the other hand, we see positive evolution in, let's say, emerging regions where our construction Dramix business is getting more traction. So I speak more specifically about India, Middle East and also China. And then as expected, we announced last year that there was a technology evolution in the -- not in the semicon, but in the solar waving panels for [ultra-wire finder] products. So we still had some solid sales in Q1 2024. So the comparables show a drop in that sales, but as expected. So let me turn to the situation on the import tariffs. So let's start with giving you a picture on how our supply chain is structured for the U.S. So we have 70% of our sales is local production and the remaining 30% is basically divided by less than 10% coming from China and the rest from Europe and Middle East. Also in terms of, let's say, the raw materials, 65% is locally sourced with the main import coming from Brazil. So with a strong local footprint, we are able to react, but also with our global supply chain where we can supply from Asia, from China or from Europe if required. On top, we've been negotiating -- the team has been negotiating in all the businesses, how we cope with these import duties and the additional costs are passed through to our customers. Of course, this will have impact on the end demand where, of course, products and inflation could play a role. So the big uncertainty is how the whole market and economic sentiment in the U.S. and the investment context will evolve. Again, I want to repeat, we are well positioned also in previous, let's say, disruptions of the supply chain. We can think about COVID or about the energy crisis, we are well positioned to protect our margins and our business. On the other hand, we all know that the uncertainty on the overall demand and the sentiment plays a role. So to be monitored further in the upcoming weeks and months. And I hand over now to Seppo to give a little bit more perspective on the different financial performance of the businesses.
Seppo Parvi: Thanks, Yves. And let's start by looking at the consolidated sales bridge showing how did we move from EUR 1,025 million sales in first quarter last year to EUR 991 million sales in the first quarter this year. And one of the biggest drivers is raw materials, and that is pass-through effect of lower raw material and energy costs compared to first quarter last year. You should also remember that there were some surcharges related to energy included still in last year Q1 sales prices. Price and mix has changed, down by EUR 11 million. That is mainly impact from changes in the regional mix between the different countries. As an example, more sales in China compared to U.S. or Europe and some other weight differences between the countries. Net volume down 12%, FX giving a small benefit of EUR 9 million, so no big changes on FX front and portfolio change net EUR 4 million. That is a net of capacity closures, mainly in SWS, Steel Wire Solutions in Indonesia and India as well as additional sales from BEXCO, the acquisition we made last year. Then let's move to BUs, our divisions and start with Rubber Reinforcement, where we had strong performance in China, offsetting volume decreases in Europe and North America. That's mainly due to lower demand for truck tires in Europe and North America. We had high plant utilization in China that led to lower average sales prices, but higher plant utilization is supporting profitability in Rubber Reinforcement business. Our leading position when it comes to innovation was also recognized, and we won Material Innovation Award at Tire Tech Expo 2025. And we also launched Elyta, new brand of next-generation ultra and mega tensile solutions. Then also to highlight that on top of the reported sales on left-hand side, we have also EUR 45 million sales from our joint venture in Brazil, and those are not included in the consolidated sales. Then let's move to Steel Wire Solutions. And there, we had sales -- solid sales performance, both on volumes and mix. And good to note is that even if you look at the right-hand side graph, sales looks rather flat, but there is good underlying growth in SWS business when you exclude plant closures. So like-for-like volumes were up 2.7%. And in EMEA, volumes were up 2%, thanks to strong sales in agriculture and consumer products. China volumes strongly up 14% by strong demand for automotive components and North America, up 4%. That's thanks to peak in agriculture seasons and energy and utility sales. In Latin America, volumes were down 2%. We have strong outlook despite uncertain trade policies, strong order books, especially at energy and utility customers, both in Europe and North America. And we have been successfully passing on high raw material prices to customers in Steel Wire Solutions business as well as in other businesses. I think that is a job well done by our sales force. And they are following also the historical operating model that we have had when it comes to rising margins. And in this Steel Wire Solutions business area, we have EUR 169 million sales from joint venture in Brazil, and that is not included in the graph of reported sales on the left-hand side. Then moving to BBRG, our ropes business. Steel ropes business in Europe and North America continued to further improve output reliability. I'm sure you all remember that we had some struggles there last year, but those are now behind us, and we have been able to stabilize the output. Results are in line with expectations. We see 2% volume growth in steel ropes, mainly in the Americas and China and production output will have been maintained in U.K. and U.S., as mentioned already. The advanced cords, low elevator hoisting demand in China has impacted volumes negatively 6%. That is a reflection of the construction business in China currently that has been a bit down. There -- here we have a bit mixed outlook. It's global uncertainty around the tariffs that is leading to a slowdown in customer activities in ropes. And we see slower order intake in mining and crane and industrial markets, but there's healthy pipeline for oil and gas projects currently compensating partly the slowdown in some other businesses. And demand for advanced cord applications is expected to remain stable. Then moving to Specialty businesses, where we are having strong focus on cost management, and we have paused when it comes to capacity ramp-up as we are well invested, but we are ready to continue on growth investments as soon as the markets start to recover. We still believe that these are future growth engines when it comes to our business. In sustainable construction, volumes were down 10%, sales 14% and especially U.S. flooring business where the project delays in automotive and logistics sectors have had a negative effect. Also in Europe, increased price competition is impacting volumes and the slow economy in Europe is reflected here. But what's very positive is increasing adaptation of our products in high-growth markets, India, China and the Middle East. And we believe that over time, this will create volume growth opportunities for us. And there is a healthy pipeline when it comes to volume growth in tunneling and infrastructure businesses. Then other segments of specialty businesses. First of all, hydrogen, we have stable sales despite project delays and high customer stocks, so managing quite well under the current market conditions. And following the technology shift that also Yves was relating to related to solar applications, sales for ultra fine wires were significantly lower compared to first quarter of '24, but in line with the previous quarter, so stable quarter-on-quarter. And that is something we had expected. So no surprise as such. This was also, I think, well communicated during the second half of last year. And semiconductor applications remain a growing and profitable niche business here. When it comes to Combustion Technologies and hose and conveyor belt, we see lower sales versus last year first quarter, but these are also in line with the expectations. With this, handing over back to you, Yves, please.
Yves Kerstens: Thanks, Seppo. So to summarize, it's clear that the strategic transformation has made our company more resilient through the cycles and that to portfolio evolution, cost control and exiting lower-margin business. If you look at the impact of the tariffs year-to-date, minimal. We have to see, of course, the remaining of the year. But on the other hand, as we explained, we are well positioned with our local footprint and our flexibility of sourcing and back-to-back with our customers. However, the overall market demand remains fragile and uncertain for us. So in that context, we were expecting a weaker market from '24 going into '25, which was confirmed. We are currently expecting a stable sales and stable EBIT-U margins. And also to remind the audience, we communicated at the beginning of the year that the plan for 2025 was an equal plan of first half and second half, so different seasonality for the business than we had in previous years. So handing over to Guy for the Q&A. Thank you.
Operator: [Operator Instructions] Our first question is coming from Frank Claassen with Degroof Petercam.
Frank Claassen : Frank Claassen, Degroof Petercam. Two questions, please. First of all, on your guidance of flat revenues, what kind of assumption do you make on the wire rod prices? Will it go down because of the lower steel prices? Or will the tariffs play a role here? Some words on that, please? And then secondly, on the M&A agenda, yes, can you elaborate what -- yes, what is your view currently? Is it still the same? Do you see more movement here? What are your plans for the M&A agenda?
Seppo Parvi: Well, if I take first your question on revenues and wire rod assumptions, and then I think Yves can take the M&A agenda part. When it comes to wire rod prices, we have seen rather stable low prices already in most of the market with the exception of U.S., and we expect that to continue. But in U.S., obviously, if you look at the tariffs, that is going to continue to push up wire rod prices. And that is obviously also something we take into account in our pricing. And like I said, we have been successfully mitigating when it comes to higher costs due to the tariffs to -- when it comes to price negotiations with our customers.
Yves Kerstens: And Frank, on the question on M&A. So as you know, priorities for us are 2 aspects, is first of all, consistently delivering the performance, and that's a priority where we are working on for this year as well, while also continuing to transform the portfolio of the company. And as mentioned before, we continue looking at different levels of M&A in some of the industries we're in. Is there a consolidation play for us as market leaders? We're looking at adjacencies to strengthen some of our platforms. And there are ongoing cases. And as mentioned before, the challenge they are only closed when they are closed. And -- but we continue to work on it. The opportunity is, of course, there that some of the expectations are more becoming realistic. So hopefully, we can, let's say, move with some smaller transactions during 2025, while keep on working on further strategizing the platforms we want to win with Bekaert in the future.
Operator: Our next question is coming from Wim Hoste with KBC Securities.
Wim Hoste : I have a couple of questions. Maybe first on tariffs. Can you elaborate on how you have adjusted production so far in which divisions, which geographies have you fine-tuned and changed production capacity or adjusted production? That's the first question. And the second one would be on Rubber Reinforcement. Can you update on the capacity utilization per region now as we speak? And also quantify the volume changes that you saw in the first quarter per region? Those were the questions.
Yves Kerstens: So perhaps I can take the first one or Seppo we can both do it. On the tariff, so fundamentally, if you look at adjusted production, no fundamental changes. So in our operating model anyhow, we have flexible allocation and sourcing. So there, the teams are constantly looking at the best flows, correct, based on the demand supply. So if you look at some more concrete businesses, we missed in Steel Wire Solutions. So the team has been looking at flows from China to U.S., delivering from Europe to U.S. So we have some flexibility there. So we are -- and also in agreement with our customers, reviewing some of these flows. On the Rubber Reinforcement business remains mainly the same types of flows, but also a combination of local production plus import mix changes. So I would say, fundamentally, we didn't need to do any capacity realignment or adjustments. It's more of activating some of the different flows to optimize the supply. And on the capacity utilization of RR, we have to, as mentioned, RR in China, automotive demand overall pretty strong in Q1, both in SWS as well as in Rubber Reinforcement. So there we have a good utilization in the factories in China up to close to 95%, 100%. If you look at Europe, U.S., that's more in the range of 75%, in line with the previous utilizations. In terms of volume changes per region, I don't know. Seppo?
Seppo Parvi: Yes. In China, we are up some, say, 10% with the good volume development while Europe, U.S., both are down, say, 5%. So that is also, like Yves said, reflected on the capacity utilization rates.
Operator: Our next question is coming from Martijn den Drijver with ABN AMRO.
Martijn Den Drijver: I have a few, and I'll take them one by one. On Rubber Reinforcement, you mentioned continued overcapacity. We obviously have to deal with the tariffs. Are Asian competitors forcing prices lower? Are they dumping products in Europe relatively speaking now that certain markets are off limits? And the second question is, it's been a couple of quarters that we have negative volume in Europe and North America in RR. Do you have any mitigation action planned in terms of production footprint optimization? Those were the first 2 questions for RR, please.
Yves Kerstens: Yes. Martijn, I can take them. So the situation of the tire industry as a whole and, let's say, the tire court remains the same. So in terms of overcapacity and mainly that overcapacity is in China, correct? What we've not seen because our customers are basically in terms of sourcing strategy, pretty long-term and stable in terms of how to allocate the business to the different players. So to your question, we didn't see a more severe competition in Europe and in U.S. recently, certainly not the U.S. because of the issues in import duties, but in Europe, I think pretty stable. I think it's more the question on the long-term of the competitiveness of this region. If you look at the evolution of the market demand in Europe and U.S. on the mitigation action. So in U.S., from tire court, there are not many local tire court players, right? We are one of them, one of the few of them. So there, we always have been adjusting our capacity between local production and import. And I think in Europe, there is clear also the -- with the utilization of around 75%, we are optimizing the manufacturing footprint and the utilization of the factories to max, let's say, the efficiency.
Martijn Den Drijver: So on the last point, that is ongoing today, but there's no -- there hasn't been an announcement in terms of a planned closure or something...
Yves Kerstens: No decision has been taken on any closure. No.
Martijn Den Drijver: Got it. Then moving on to SWS. You mentioned in the press release 2 closures in Indonesia and in India. Are those the small footprint adjustments that you mentioned in the Q4 2024 release? And if so, what level of costs have been taken out just so we know what to take into account in 2025?
Yves Kerstens: Correct. So these are smaller operations that were joint operations, correct with our business in Rubber Reinforcement. So these were small businesses, but due to the priorities and the focus, we closed the operations, so minimum impact. But certainly some revenue volume that has shifted from other supply bases from other factories.
Martijn Den Drijver: Okay. Clear. And you mentioned agriculture as in this case, particular case in Q1, a rather solid driver for volume. What percentage of revenue for SWS is still coming from agriculture actually?
Yves Kerstens: It's mainly reference to our business in the U.S., basically where the 2 big segments in a couple of segments, but 2 important segments in SWS U.S. are, on one hand, the fencing for agriculture with a typically very strong business in the first half of the year, the first quarter, and that's what we're referring to. And then the second, of course, the big business in the U.S. more throughout the year is the transmission wires business with the overhead cables reinforcement. So that's the 2 businesses we refer to, the agriculture business in this case, yes.
Martijn Den Drijver: But what is it? Is it 10% of sales, 20% of sales in the U.S.? Just to give us a bit of a sense of how large this segment still is?
Yves Kerstens: Top of mind, let us check, Martijn.
Seppo Parvi: Relatively small in the total sales picture.
Yves Kerstens: In U.S. So total U.S. [Indiscernible] We'll come back on that.
Martijn Den Drijver: Okay. Then on Specialty and the Dramix developments. Could you elaborate a little bit on why there was lower demand in Europe? You've explained what happened in the U.S. part of the business, but can you elaborate a little bit on what happened in Europe?
Yves Kerstens: Yes. So Europe is more an evolution, correct? It's not a sudden change in the trend where, let's say, the conversion from traditional reinforcement to Dramix and in some mature markets, basically, we have a high, let's say, conversion rate already. Construction, industrial let's say, footprint in Europe, meaning new factories, warehouses are more limited. I think what we see now, what is perhaps positive for the future is, let's say, attractiveness of industry in Europe, it's also changing evolution policies and so on. So there, we are looking positively into the evolution. So that's for Europe. U.S., we explained. We're also pivoting there to other segments in terms of the conversion play and continue our trend on penetrating this business in new regions.
Martijn Den Drijver: And final question on Specialty. Hydrogen, a little bit of a delay in Q1. There was already a bit of a delay in 2024, though the growth was still pretty strong. Any impact on your medium-term expectations in not so much at the end volume and sales level or the evolution towards that level?
Yves Kerstens: You mean the timing it takes to -- in terms to get this to [Indiscernible] that's your question?
Martijn Den Drijver: Yes, correct.
Yves Kerstens: Yes. So as explained last time, so based on, let's say, the evolution of the sustainability agenda, some changes in policies and priorities, the supply chain that is pretty full, right? We see that delay of growing the demand with 2 years. If you look at the horizon of 2030, we're still positive about that business to make it a sizable business of a couple of hundred million with a full offering, so the Porous Transport Layer, but also with launching the MEA. So what we are doing currently is to make sure we have the footprint in China, we have the footprint in Belgium ready, correct? We start supplying our key customers from this -- also from the new Belgium location, ramping that up and keep on driving the R&D with the customers on the MEA offering. And so both the PTL and the MEA, let's say, should generate in the future, nice additional growth and margin. And we see the final investment decisions projects increasing. But of course, it takes time for going into implementation. So I would say on the mid-term, still confident, but we need to rightsize the resources we put on manufacturing, but also on R&D to follow the scaling up of this business.
Martijn Den Drijver: And then my final question for [Indiscernible] on BBRG, you mentioned stepping up output in North America and Europe, referring to the operational issues in 2024. Can you just remind us what was the negative impact on sales and EBIT of those issues in 2024? So we know what to adjust for in 2025.
Yves Kerstens: That's a good thing, our memory.
Seppo Parvi: I think sales-wise, we were not suffering so much. It was more on the profitability because of the operational issues. And we were coming back in Q4. And -- but if you look at the margins, we were, I think, 2% to 4% below normal margins sort of the first part of the year. So that gives you some magnitude.
Operator: Our next question is coming from Chase Coughlan with Van Lanschot Kempen.
Chase Coughlan: I'd like to take it back to SWS. Of course, you spoke to quite a strong energy and utilities market also in terms of the order book there. I'm just wondering, do you believe there's any pull-forward effect in the first quarter in that business in the U.S. given obviously the ongoing tariff uncertainty. Was there sort of an artificial pull-forward effect? Or can we also extrapolate that sort of performance for the rest of the year?
Yves Kerstens: Sorry, Chase, we got a little bit of breakup in your question. If I understood correctly, was the question with the timing of revenues in SWS, whether there's anything that was advanced from the normal pacing?
Chase Coughlan: Yes, exactly. Was there any pull forward in that business?
Yves Kerstens: I think not. No, I mean it's a business that continues to perform well and no particular accelerations. I guess, getting to your question, it's a function of tariffs, but obviously, potential uncertainty on the horizon.
Chase Coughlan: All right. That's clear. And then I have more of a strategic question, I suppose. You speak a lot about your local supply chains and your global footprint. And I'm wondering, do you see any sort of opportunity for you to actually gain market share in this environment, especially perhaps in the tire cord business where a lot of the peers are more Asian manufactured. Do you see sort of any opportunities there that you can pursue?
Yves Kerstens: No, it's correct. So in a context where, let's say, more local-for-local trade versus global trade, of course, with the global footprint gives us opportunity. We are working on that to seize these opportunities. Now what we see is that our customers don't change their sourcing strategy so quickly, correct? So it takes some time to work things through. But certainly, it will be a positive context for us on grasping local demand.
Chase Coughlan: Yes. Okay. That's great. Those were my questions. Thank you.
Operator: Thank you. As we have no further questions on the lines at this time, I'd like to hand it back to management for any closing remarks.
Yves Kerstens: All right. Good. So, first of all, thanks for joining this morning. Thanks for your questions. We will continue in Kortrijk with 1 hour all the general assembly. And I wish you a good day, and thanks for your time on connecting with us today.
Seppo Parvi: Thank you.
Operator: Thank you. This does conclude today's call. You may disconnect your lines at this time, and have a wonderful rest of your day. We thank you for your participation.